Operator: Good afternoon. Welcome to ASUS's 2024 First Quarter Online Investor Conference. Today's conference will be hosted by our CEO, S.Y. Hsu, and Samson Hu, as well as our CFO, Mr. Nick Wu. First, our CFO, will go over our first quarter performance for 2024, and then our CEOs will give an outlook on the future. Next, there will be a Q&A segment. You can ask any questions you have through the online interface. We will answer them.  
 So first, let's welcome our CFO to give his presentation. 
Nick Wu: Thank you. Please look at Page 5 of our slides. This is our brand income statement for the first quarter of 2024. So you can see that our net revenue was TWD 114 billion, a 2% growth quarter-over-quarter and 11% year-over-year. The operating profit was TWD 4.6 billion, 95% quarter-over-quarter growth and 227% year-over-year. Net profit was about TWD 5.4 billion. Quarter-over-quarter, this is 39% growth in year-over-year. It's 424% growth. This contributed to the earnings per share of TWD 7.3. So looking at this overall -- these overall numbers, you can see that the market overall was relatively stable at a relatively low level in line with our predictions. 
 However, with the work of all of our teams and departments, we optimized a lot of the management of our operations in the first quarter. Retail channel revenue or rather channel inventories also were at a normal and well-managed level in the first quarter. So thanks to the effective management, we see that our operating margin for the first quarter was 4.1%, which is ahead of the targets we set previously. We believe that this is a very positive development.  
 Looking ahead to the second quarter, we foresee a relatively stable market and operating trends. Of course, the focus right now is on the next few weeks or the next few months when we launch a very important product line, which is our AI PC product line. This is a new innovative product cycle, one which ASUS is extreme -- has set extremely ambitious targets for and which we've devoted much effort to the planning and strategy of. So this will drive forward the whole industry, including ASUS to create a new growth cycle in the next few years. Our two CEOs will discuss this further in their presentations.  
 If we look at the sixth slide, this is our nonoperating items for the first quarter. You can see that our interest income was about TWD 690 million. Our investment income was TWD 290 million, and our exchange rate income is TWD 580 million, for a total nonoperating income of TWD 1.67 billion.  
 Next, let's look to the seventh slide, which is our balance sheet. You can see that our balance sheet remains stable and in line with our goals. But in preparation for the AI PC product cycle, we are stock -- as well as the future growth in component growth, we are stockpiling some raw materials, which has pushed up our inventory from TWD 116 billion to TWD 128 billion, but this is in line with our previous planning. Our prediction is that as the new product cycle and growth gets underway, this will be -- this will prove to be an appropriate strategy. 
 So you can see that the remaining balance sheet items are relatively stable, so you can have a look for yourself. Looking to the eighth slide, this is our revenue mix for the first quarter. Starting in 2024, we are making an adjustment to how we report our revenue so that the breakdown will be by business group. This is in line with our internal organization. So our system business group, including PCs and smartphones, this business group accounted for 55% of our revenue for the first quarter.
 In the past, we reported a so-called component category, which includes both the open platform products such as motherboards, graphics cards and servers, but it also included the AIoT products in industrial computers, AI solutions, many PCs, et cetera. So now we have broken this components category down by business group. -- to -- so this includes the open platform business group, which accounts for 42% and the AIoT business group, which is 3%. 
 Looking at the regional breakdown, you can see that Europe was 31%. The Americas were 22% and Asia was 47%.  
 Looking at our business outlook for the second quarter in the next slide, in PCs, we are forecasting 10% to 15% quarter-over-quarter growth. For components, including motherboards, graphics cards and servers, we are forecasting a flat quarter-over-quarter performance. To add to this a little bit, I would like to discuss the AI server product. In the first quarter of this year, AI servers actually saw a rather significant growth in shipments. And we believe that the second quarter as well as the future quarters will create continued growth on this very solid basis. 
 And more importantly, right now, the GPU chip platform for servers will see a very important new platform. So ASUS is devoting a lot of effort in planning for this to ensure that in the transition to the next platform, our AI server business will be able to seize on this opportunity to provide the most comprehensive solutions as well as -- and also we are collaborating with channels and clients to promote this growth in the AI server category.  
 Also, one very important theme for ASUS is to become a comprehensive AI company, which is something we discussed last quarter as well. So AI transition and AI empowerment as well as planning around AI usage scenarios are major priorities for us, and they will become important strategies for the future. So that concludes our -- my presentation. So next, let me welcome our co-CEOs to go in further depth. Thank you. 
Hsien-Yuen Hsu: Good afternoon. First, thank you for joining in on our conference this quarter. I'm S.Y. Hsu, Co-CEO. Samson and I will now take over and give our presentation. First, I'm very happy to share with you all our strategic outlook for 2024. This will be a year full of opportunities and opportunity. And we will have solid execution and drive growth in our business.  
 In the first half, we will focus on improving our health and building a solid base for future opportunities which will allow us to meet all challenges. We will also pursue a full AI transformation to improve our efficiency and competitiveness. We will use technology and solutions to integrate AI into every aspect of our operations.  
 In the second half of the year, we will drive growth. We will launch a new era of AI devices, which will help us expand our market share, grow our presence and sustain our growth. Finally, we will continue our strong commitment to building a growth enterprise with our dedication to quality and innovation and achieve our long-term growth goals.  
 As the AI era arrives, the industry is changing at a speed that is unprecedented. In the future, AI will be everywhere across all platforms, models and services. ASUS will provide the most comprehensive AI solution. First of all, in the cloud, we will provide AI servers and AI compute, providing compute and data handling to help companies pursue AI-driven innovation and train large language markets. Next, for consumers, we will introduce AI PCs  smartphones, bringing AI into people's lives and their work and to provide a more convenient AI convenience. For example, the ZenFone 11 offers AI recording transcription and interpreting features for better communication and exchanges in business meetings as well as in leisure travel. This will help people more comfortably meet all kinds of challenges.  
 Finally, on the edge, we will introduce IPC and AIoT solutions to fulfill the potential of edge computing and build -- and fulfill the potential of IoT. As a comprehensive solution provider, we are dedicated to providing solutions that will meet ever-changing demand from AI government to cloud infrastructure and IT, OT and software integration on the edge. Our comprehensive solutions will help customers meet the challenges for the future.  
 In the AI era, ASUS has several key initiatives to become the market leader. We are very happy to share with you some of these initiatives. First, we will focus on innovation, time to animation. This is very important for us, and we have a leading R&D team to achieve this. As I've said before, ASUS has over 1,000 AI engineers. And I'm very sure that we'll be able to adapt to new technologies and turn ideas into products so that we can maintain our competitive edge. 
 We will also continue our focus on design thinking, putting the customer at the center to design beautiful and functional products. So that aesthetics and functionality can come together. We are also a builder of AI ecosystems with many different solutions and partners so that we can build a comprehensive ecosystem, providing software, hardware -- hardware and software to our customers. Finally, AI will become ubiquitous in the future. We believe in AI, and we are integrating AI into our culture and our work so that AI can become an ecosystem for us.  
 In this time of challenge and opportunity ASUS will work with our customers or rather with our partners to provide our customers with better solutions. I am thrilled to announce that in the early morning of May 21 in Taiwan, we will hold an online launch event called the Next Level AI Incredible where we will announce our first next-generation AI PC. I PC AI PC will come with Qualcomm's Snapdragon X Elite processor. This is our first product to include this processor. This PC will be a high-end laptop with top-notch AI performance and functionality to bring an amazing experience. It will also include Microsoft's newest AI features and a customized experience to meet customer needs. So we hope you're all here -- you'll all be there, and please look forward to this product announcement. Thank you. So let me hand the floor over to Samson. Thank you. 
Samson Hu: Okay. Thank you, S.Y. Good afternoon. I am co-CEO Samson Hu. And next, I will give you an overview of our various business groups for the first quarter. So if you look at the 15 slide, you can see that in the system business group, year-over-year revenue was approximately flat because as CFO, Nick Wu said, the recovery in the market remains relatively lukewarm and people are still waiting. So it was a decent performance to maintain flat revenue year-over-year. 
 However, I would like to call out gaming as a segment in which ASUS maintained our #1 leadership ahead of other brands. As S.Y mentioned, the new generation of AI PCs are coming, and we are all looking forward to this. And as he said,  on May 21, we will launch -- we will present our first new generation AI PC, and after that, during COMPUTEX, we will present the full series. So the PC industry, with the coming of AI PC product line, will experience a relatively long growth cycle, and we believe that this will be an important milestone for our industry. As we've said many times before, ASUS is very confident that we can become the leader in the next product cycle when it comes to the PC industry.  
 Looking at the next slide, our open platform business group, revenue grew by 20% to 25% year-over-year. In motherboards and graphics cards,  we have maintained our leadership in market share. Overall revenue in this segment was about flat over last year. In terms of servers due to our increased market acceptance in AI servers, this segment grew by multiple times over the past year. As you all know, AI development has brought many new possibilities, and we will continue to offer high performance and reliable solutions to satisfy this growing market demand.  
 Also, as I said many times in the past, ASUS continues to leverage our existing advantage in the gaming segment. We are continuing to expand our gaming ecosystem and promoting continued growth. This includes peripheral market, which has been relatively overlooked in the past. Over the past few years, gaming has become a very high growth market, and we are dedicated to providing richer and more diverse experiences to all gamers. So our peripheral products segment grew by 40% over last year. It will become a very important part of our gaming business.  
 Looking to the next slide. In our AIoT business group, for the first quarter this year, we achieved a year-over-year growth of 150% and mostly thanks to our new NUC product line. So starting from the fourth quarter last year, the NUC products contributed a very high amount of revenue to this business group. So with our mini PC and NUC product lines, this will contribute to our growth in industry, commercial and manufacturing markets and also improve our R&D capabilities in AIoT and AI. 
 And as you all know, we had a handheld ultrasound product. The LU800 model was honored by a -- was honored with a national medical quality award, which recognizes our pursuit for excellence. And that's the fruit of our efforts in smart medicine.  It really shows our excellence in product and technical R&D. And I'm sure that this segment, smart medicine will become a major contributor to our revenue in the future as well. We will continue to provide high-quality and advanced tools and solutions to our medical professionals.  
 Looking to the next slide. I've shown variations of this slide many times in the past. So our biggest segment in terms of internal revenue share remains gaming. ROG product designs have always been well regarded by all quarters. And the ROG Ally launched last year received a Red Dot award. Our collaboration ROG V13 also received an iF Product Award -- Product Design Award. The ROG Zephyrus series earlier this year received both awards, Red Dot and iF, which helps the product out in the market and helps create revenue for us.  
 In our new products in 2024, we continue our spirit of innovation. So the Zephyrus G16 is the first OLED display with G6 support, which contributed to us reaching 60% in the thin and light market segment around the world. As for the ROG Phone 8, we have introduced new features such as AI-driven pattern recognition which has been very well regarded by gamers around the world. We will continue to deepen our partnerships to expand the influence of the ROG brand and build brand loyalty. So all of these efforts will continue to help ROG maintain our #1 leadership position on the market. 
Operator: Thank you to our CFO and co-CEOs. Next is our Q&A session. 
Operator: [Operator Instructions] So our first question is from Morgan Stanley. So in the first quarter, ASUS achieved a 4% margin. Looking ahead to the second quarter and the second half of the year, do you have any updates to your outlook. 
Nick Wu: Let me answer this. I'm Nick Wu, the CFO. In the first quarter, as you all know, market research firms indicated that market demand was relatively flat and stable. But the good thing was that after a period of adjustment, channel inventories and the overall structure of the market returned to a relatively stable state. So in the first quarter, ASUS devoted much effort to optimize our operations. This allowed us to increase our income and also achieve better cost controls. 
 So we were very happy to see that in the first quarter, we were able to achieve 4% in our operating margins. We believe that these efforts and these optimizations will continue into the second quarter and beyond, which means that our operating margin has the chance to continue to grow from this base of the first quarter. And with our new product cycle in the second half, we will be able to work to improve this margin further. So that's what we can say about our operating margin. 
Operator: The second question is also from Morgan Stanley. AI PC is a very important product for the new product cycle. So how does ASUS see the impact of AI PCs on margins, prices, portfolios, the product upgrade cycle, et cetera. So this is a question for both CEOs. 
Samson Hu: Okay. I am Samson Hu. Let me take this question first and maybe S.Y. Will have something to add. As you all know, AI PCs as the name implies, means that it can -- these are machines that can execute AI work on the PC end. And AI can help PC users through its various features to improve their efficiency at work or to provide other better user experiences. So to put it simply, AI could perhaps help PCs become almost like a personal assistant. So AI PCs will definitely be able to bring higher value for our customers. From another perspective, if we look at the cost structure of AI PCs, in order to run AI on the PC end we will require an NPU or a new role processing unit in the CPU. 
 And this will, of course, result in higher costs and higher prices. Also, the need to do AI inferencing on the PC end will require bigger memory. So on AI PCs, the memory capacity will be bigger, perhaps by 8 gigawatts -- rather 8 gigabytes or more. So with a better experience provided by AI PCs and the higher cost of AI PCs, this will be reflected on the price as well. AI PCs will have a higher price compared to traditional PCs, and we estimate that the price increase will be by 2 to 3 price bands with each price band being about USD 50. 
 So the end price will be raised by 2 to 3 bands. As for the impact on gross margin, this will obviously depend on what each brand could do. in terms of how it designs these AI PCs. So in addition to the key component costs, there are other costs and how these costs will be controlled will be up to each company. But overall, AI PCs will be a very positive influence on the profit structure of companies. 
Hsien-Yuen Hsu: Thank you, Samson. S.Y. Here, I have some more to add. In my opinion, AI PC will represent another major transformation of the PC industry since the invention of the PC. It would be like how -- it would be like the Internet boom because when the Internet first appeared, PCs were the only machines that could go on the Internet. So this drove a lot of PC sales. AI PCs will have -- will create a great change in the user experience for our PCs. Traditionally, PCs were a productivity tool. So in the past, higher executives in companies would have a personal assistant to help them work, but with the introduction of the AI PC if you have the software for it, every user would have the experience of having a virtual personal assistant. 
 So I believe this will greatly improve productivity. Of course, the full experience of the AI PC depends on more than the hardware, there will also need to be the appropriate software as well as OS support. So the integration of the hardware, software and the OS will require some time to reach full bloom. Of course, in the second half of this year, Microsoft and Qualcomm will lead off with their products and other x86 systems will soon follow. Third-party software will need some time for development. But I believe AI PCs this year will also have a timing advantage in the sense that during the pandemic, many people bought new machines. 
 And now it's 3 or 4 years later. So it's time to upgrade many of these machines. And also Windows 10 will reach its end of service by next year. So many business customers will need to upgrade, and business customers, obviously really care about employee productivity. So I am certain that as they upgrade their machines, they will consider AI PCs as a priority. So I think all of these are very positive factors for the AI PC market in the future. So I'm quite optimistic. 
Operator: Okay. Thank you to our co-CEOs. Our next question is from UBS Securities. So it was previously mentioned that in the first quarter, inventory grew because of stockpiling for the future product cycles. So can you share more about what parts are being stockpiled? Also, in terms of the timeline for the AI PC, what kinds of hardware and software upgrades will there be? And how will ASUS AI PCs be differentiated from those of other brands? Can you offer some insights? 
Samson Hu: Okay. Samson here. Let me give a quick question about the parts. So there are two major contributors to the inventory. First, as you know, as has already happened, DRAM, storage, solid-state components, they're all experiencing very high demand and the price is going up. So we are stockpiling these components ahead of time, which is contributing to our growth in inventory. The second factor is AI PCs because they use a new generation of CPUs that incorporate NPUs. So with the AI PC growth cycle, particularly in the third and fourth quarters of this year, we will need to prepare the CPUs needed for the AI PC. So these are the two factors driving our inventory growth. 
Hsien-Yuen Hsu: Okay. S.Y. here. Let me answer the second question. We see that everybody is very curious about AI PCs. And as Samson mentioned, the current industry definition of AI PC, the mainstream definition is that AI PCs are PCs that have an NPU and the CPU. So I believe this will be the biggest difference in terms of hardware. But as Samson said, executing these AI applications will require a high memory. So in the past, like traditional PCs without these AI applications might come with maybe 8 gigabytes of memory, that's a mainstream spec. 
 But now in the AI generation, if you want to run these AI applications, we will need more memory, at least 16 gigabytes or perhaps even more depending on what kind of application you're running. So of course, this will cause an increase in the price of AI PCs, as Samson said, there will probably be an increase of 2 to 3 price bands. Of course, ASUS has always had our own approach in terms of product design, and we are centered on design thinking and solving pain points for our customers. 
 So in the new AI PC generation, we will also think about the problems that customers might face when they're using this PC and providing comprehensive solutions. These solutions might come through software or through hardware, but we are sure that this will be a unique differentiation factor for ASUS AI PCs. And unfortunately, I can't go too deep into this because our product launch is coming soon by COMPUTEX. So please look forward to our product announcements. It would probably answer your question even better. 
Operator: Our next question is from Merrill Lynch. What is ASUS' visibility or outlook on the AI server segment? And can you share with us the margin as well as its share of ASUS's revenue. And when the next platform comes B100, B200, what is ASUS' ambition or visibility for the future? 
Samson Hu: Okay. Samson here to give a brief reply. So in the second quarter and the second half of this year, as Nick said, the AI server momentum will build. In the first quarter, AI PCs grew by several times year-over-year. And as we look to the second quarter and the second half, we are confident that we will continue to maintain multifold growth year-over-year. As for the margin of AI server products, I can say this. So the margin on AI servers, as you might know, the most important component in AI servers is the H100, H200 -- B100, B200 when it comes to NVIDIA, at least. 
 So that is the most important component of the cost. And then when it comes to system design, this is where brands like us can work our magic. And we are very confident that thanks to our R&D capabilities, we will be able to control the cost of these AI servers. And as for the customers, our customers are still mostly concentrated on regional CSPs. So there are norms in this industry when working with them. So whether it comes to system design and our engagement with CSPs, we are doing all we can to maintain a healthy gross margin on our AI products. I hope this answers the question. 
Operator: Okay. We are seeing several questions from investors and media on the ROG Ally. So let me represent this all with a question from Morgan Stanley, which is ASUS is launching the next Ally product. So what are the revenue and profit plans and expectations for the Ally line? 
Samson Hu: Okay. This is Samson. Last year, at the launch of the ROG Ally, we shared with you that we are expecting TWD 5 billion to TWD 10 billion in revenue. But now 1 year later, well, the product cycle is now stabilizing. It's entering a more stable part of the cycle and the revenue and the product -- and the profit, rather, the actual performance will certainly be a little bit downward from their initial expectations. 
 I cannot share a specific number but I can say that after this 1-year cycle, we've been listening to our users, including on online forums, we've been hearing a lot of feedback from our users. So within the next month, at the start of next month, we will respond to the user feedback in terms of specs and usage. So we will introduce not exactly a new model of the ROG Ally, but rather an improved version based on the user feedback. So please look forward to that. And we do expect that this new improved generation of the ROG Ally can bring in new growth in the second half of this year. 
Operator: So the next question is from KGI. So how does ASUS see AI PC market penetration in 2024 and '25? How will it drive the growth in the industry? 
Samson Hu: This is Samson. Let me take this question. AI PC is, of course, much discussed, but companies actually have different definitions of AI PCs. So Intel is forecasting that in 2024, for the full year, AI PC shipments will be in the tens of millions. But of course, Intel defines any PC with an NPU as an AI PC. Microsoft takes a stricter definition so that, as Microsoft defines it, a PC needs to have an NPU that meets a certain performance threshold in order for Microsoft to consider it an AI PC. 
 So different companies have different definitions of the AI PC product segment. But regardless, in the second half of the year as AI PCs come onto the market and people start using AI PCs, experiencing the benefits that AI features can bring, we are sure that penetration will grow very rapidly. So we are optimistic that by 2026, there will be -- 50% to 60% of PCs on the market will be AI PCs. 
 Of course, we will also need hardware and software integration to demonstrate how AI PCs can help users and there will need to be some time for all this to settle in. But I do think we can be optimistic this year as Intel predicts, there will be tens of millions of AI PCs on the market. And by 2026, 50% to 60% of PCs on the market will be AI PCs. 
Operator: Okay. The next question is from Uni President Asset Management, but also many other participants. So the question is, what is the revenue share for AI servers in the first quarter or rather what is the revenue share for servers and AI servers? 
Nick Wu: Okay. To briefly answer. In the next -- in the previous few years, we have been stepping up our efforts in AI servers. And now our efforts are bearing fruit. Looking at our internal revenue share, within the server business, AI servers account for 70% to 80% of servers. As for the share of servers in ASUS revenue as a whole, it has now reached high single digits, nearly 10%, not yet quite at 10% but high single digits. And of course, AI servers is 70% or to 80% of that, and it will grow higher in the future. 
Operator: The next question under the trend of AI PCs, how does ASUS view any possible changes in the competitive environment? 
Hsien-Yuen Hsu: Okay. This is S.Y., I'll answer this. We believe that the AI PC generation is a very good opportunity for ASUS because, of course, ASUS has a very large R&D team, and ASUS has always been extremely passionate about technology. We have very high technological expertise relative to our competitors. For example, with motherboards, our R&D not only gain knowledge of design, but also the design of the chips on the motherboard as well as the structure of the CPU. 
 So we gained expertise in all of these fields. And with this expertise, we were able to make better market product -- motherboard products than all of our competitors. And I'm sure the same will apply to AI PCs. We've devoted a lot of efforts into understanding large language models. You might remember that many years ago, ASUS introduced a product called Zenbo. And actually, the software on the Zenbo product already used some AI technologies. So even before we introduced the Zenbo, internally we had R&D teams that were on this technology. 
 So we have a long history in AI, and that's allowed us to accumulate a lot of knowledge that's deeper than that of our competitors. And this knowledge will be a good foundation for us to provide better and more refined experiences in our products. And of course, this will require better hardware and software integration. And we hope that we will be able to display this in our product differentiation. 
Operator: The next question is from Merrill Lynch. The question is, how will AI PCs impact the gaming PC market? Because, of course, ASUS is a leader in the gaming PC market. And second, what is the target customer for AI PCs? Are they mostly business, small and medium enterprise customers? 
Nick Wu: So when it comes to AI technologies, there are actually many different kinds of applications, and gaming is included in this as well. For example, on gaming machines, there's a lot of emphasis on improving frame rates. So before AI, if we wanted to improve frame rates, we needed faster GPUs. So with higher GPU performance, we can compute more frames than 60 frames per second. 
 We can reach 120 or more. And of course, this will make the gaming experience smoother and better. But with generative AI, people take a different approach because GPU compute it's -- it actually draws a lot of power because GPU performance is very power hungry. So some people take the approach where the GPU continues to compute at 60 frames per second. But if we want to show the user 120 frames per second, then we can use the NPU, we can use the generative AI to compute, to generate more frames in the middle because the NPU is more efficient than the GPU. 
 So this is a very good example of how AI capabilities can be used for gaming. Another example is how many people play games that have extensive dialogue with the characters within the game. And earlier, all of this dialogue needs to be pre-written. But now if game developers can introduce generative AI or large language models,  then the dialogue can become more open-ended. The dialogue can be adapted to player inputs. So this would be very different from earlier titles where all the dialogue needs to be pre-written. This is another application for games. 
 So in many ways, AI technology can be used in gaming. And actually, many people when they're playing games, they want something like an assistant for them, a software that can help them with completing these games. And this is something that many software companies are working toward, and this is also something that generative AI can help to achieve. 
 So really, there are many applications for generative AI in gaming. And the only limit is how people use their imaginations to solve their customers' pain points. ASUS has a very high market share in the gaming market, and we are a leading brand. So our R&D team has devoted a lot of effort in thinking about how to leverage generative AI technology to provide a better experience for our customers. 
Operator: So it seems that all of the questions that we've collected have now been answered and discussed. But if you have any other questions or points of feedback then you are welcome to contact our Investor Relations team. So now let us invite our two co-CEOs to give a few final remarks. 
Hsien-Yuen Hsu: So first, thank you for your participation in this investors conference. And we see that the hottest topic this year is AI. But as we said, ASUS has set very aggressive targets for the AI generation. We want to become a leading company in AI. So in terms of AI products, we are on very fast schedules, and we have devoted a lot of resources and leveraged our design thinking to try to use AI technology to resolve our customers' pain points. And in our COMPUTEX product announcements, you'll see a lot more of what we've been doing. So you're all welcome to attend the product announcements, and thank you for your care for ASUS. 
Samson Hu: Okay. Thank you to all our friends in the investment and media world for your participants -- for your participation. Today's conference has seen a lot of focus on AI servers and AI PCs. So I would like to say a few more words about these topics. Of course, we are very optimistic about these trends and how they will impact the PC market. We believe that it can create a new PC product cycle. So why are we so optimistic?
 If you look back on the development of the PC industry over the past 4 decades, many new key technologies have improved the usage or experience of PCs and driven new product cycles. For example, early on, PC interfaces were entirely keyboard based. Then the appearance of the mouse and the graphic user interface changed that. And in terms of software, in the beginning, there were only soft spreadsheets, but now there is a whole suite of office software for more complex documents. 
 So PCs are an important productivity tool, and we believe that AI PCs will be a huge boon for this, particularly with large language models and generative AI, we believe that the PC user interfaces will be revolutionized and the entire experience will be more natural and more interactive. 
 So that's why we're very optimistic about the AI PC trend. As my colleague said, we are very confident here in ASUS in our expertise in AI technology, because our expertise is not just in hardware. We have subsidiaries working in AI and working in LOMs. So in addition to developing hardware devices, we are also confident in being able to develop applications in software to improve the AI experience. 
 In addition, we have very strong partnerships in the AI ecosystems, whether with silicon vendors or with OS providers, we have very strong partnerships with them. So with our first product announcement on May 21, and the announcement of the full product line in COMPUTEX, in these events, we will announce our new products. And then in the second -- or rather in the third and fourth quarters of this year, we will introduce AI servers. 
 Many people are asking whether ASUS is following -- has -- whether ASUS is meeting the newest trends? And I'm sure that in NVIDIA's GTC, you'll be able to see that ASUS is also a partner for the GB200. So whether it comes to AI PC or AI servers, we are very confident in ASUS' position. Thank you. 
Operator: Thank you. This concludes our investor conference.